Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Q1 2012 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded today, Thursday, April 26, 2012. I would now like to turn the conference over to Patti Leahy. Please go ahead, ma'am.
Patti Leahy: Thank you, Benjamin. Good afternoon, everyone. Welcome to Sonus Networks First Quarter 2012 Operating Results Conference Call. Thank you for joining us today. Before we get started, I would like to remind you that a recording of this call will be available on our website at sonus.net. Speakers on the call today are Ray Dolan, Chief Executive Officer; and Moe Castonguay, Chief Financial Officer. Todd Abbott, Senior Vice President of Worldwide Sales and Marketing, is also here to address your questions at the end of our prepared remarks. If you have questions following today's call, please direct them to me at (978) 614-8440 or pleahy@sonusnet.com. Please note, as we indicated in our press release, effective beginning this fiscal year, we are reporting our first, second and third quarters of each year going forward on a 4-4-5 basis, ending on Fridays. Our fiscal year end will continue to be December 31. Please also note, for purposes of Safe Harbor provisions, that during this call, we will make projections and forward-looking statements regarding items, such as future market opportunities and the company's financial performance. Actual events or financial results may differ materially from these projections or forward-looking statements, and are subject to various risks and uncertainties including, without limitation, difficulties we may experience in expanding our customer base and in leveraging new market opportunities. A discussion of factors that may affect future results is contained in the filings with the SEC, which are available on our website. While we may elect to update or revise forward-looking statements at some point, we specifically disclaim any obligation to do so, unless required by law. Finally, during our call, we will be referring to certain GAAP and non-GAAP financial measures. A reconciliation of the non-GAAP to comparable GAAP financial measures is included in our press release issued today, as well as on the Investor Relations section of our website at sonus.net. It's now my pleasure to introduce the Chief Executive Officer of Sonus, Ray Dolan. Please go ahead, Ray.
Raymond P. Dolan: Thank you, Patti, and good afternoon, everyone. I'm very pleased to report solid financial results for the first quarter, as our execution strengthens and demand for our solutions continues to grow. Over the past year, Sonus has demonstrated increasingly strong traction in the fast-growing SBC market, which Infonetics estimates will grow by 25% in 2012 to $600 million, reaching more than $1 billion by 2015. Sonus is directly focused on this rapidly growing market and is getting stronger and more competitive by the day. We are on-track to launch our channel and enhance our SBC portfolio in Q2, which should significantly expand our opportunity into the enterprise. The trends that we've talked about on our last call, such as bring your own device or BYOD, Big Data, the rapidly growing adoption of SIP trunking and cloud-based unified communication, remain key growth drivers for our industry and for Sonus. I'm excited about the transition we are making to a growth company again, and I believe that our focus and our investments this year are positioning us well for the future. As you've seen in our results, our revenue and gross margins were substantially ahead of guidance. However, our operating expenses in Q1 ran about 5% ahead of our guidance as we continue to invest in order to capture more of the growing SBC market. Moe will discuss the details of our results in a moment, but I want to make it very clear that we understand how important profitability is as a critical performance metric, and we are planning to return to quarterly profitability later in 2012. However, at this stage for Sonus, given the market growth opportunity in front of us, the market share we are consistently gaining and the revenue growth that is driving, I believe these short-term investments are paying off and are vital to our future success. The proof point of our success are already showing up in our results. For example, SBC continues to become a more material part of our overall revenue mix and now represents 26% of total revenue for the first quarter, up from 7% in the first quarter of last year. We expect this trend to continue. We recognized SBC product revenue from 35 customers in the quarter, which is up from 16 in the first quarter of 2011. We expect to win an increasing number of new customers, especially as our sales coverage increases and our channel program takes root later this year. We added 4 new customers in the quarter, which was in line with our expectation at this point in the year. All 4 customers purchased SBC products and services from us. Two of the 4 were service providers, and 2 were enterprise customers. We are seeing increased traction for all of our SBC products. But I'd like to pause here to address the question that tends to come up regarding the nature of our SBC 9000 revenue, and the concerns that some may have that it is predominantly driven by software upgrades from existing equipment as opposed to new system sales. It is not. We've looked back at the data and the fact is that almost 75% of our SBC 9000 orders since the beginning of 2009 have been from new chassis. Simply put, our SBC revenue is earned through competitive wins in the marketplace, which I believe underscores the strong share gains we are experiencing. Our strong portfolio of SBC's products, clear focus, and strong execution are significant reasons why we are outpacing industry growth and taking shares. Customers value scale and reliability which, along with our strong policy management capabilities, are some of the hallmarks and competitive differentiators of Sonus' SBC solutions. Moe will discuss our outlook in a moment, but I'd like to point out that our overall expectation for revenue in the first half is tracking with the expectations we had at the time we established our annual guidance in February. Albeit that some revenue we expected to recognize in Q2 was recognized in Q1. It's worth noting that our annual SBC revenue is expected to be less backend-weighted in 2012 than it was last year. Our Q1 results and Q2 outlook imply that at the midpoint of our annual SBC revenue guidance of 77.5%, approximately 40% is expected in the first half, and 60% in the second half compared to a 30-70 split in 2011. This trend underscores the confidence we have in our full year outlook. 2012 is a pivotal year for Sonus. I am very encouraged by the successful transition we are making to become a growth company again. We expect to outpace SBC industry growth this year as underscored by our annual SBC revenue guidance, which we reiterate to you today. We believe the investments we're making today are creating the foundation for our company to deliver superior returns to our shareholders. And I'll now ask Moe to take us to the details of our first quarter results, as well as our outlook.
Maurice L. Castonguay: Thank you, Ray, and good afternoon, everyone. Total revenue for the quarter was $64.3 million compared to $74.3 million in the fourth quarter of 2011, and $67.3 million in the first quarter of 2011. First quarter revenue exceeded the outlook we provided on our last call, due to approximately $5 million of revenue being recognized in Q1 rather than in Q2, as previously forecast. Our SBC revenue is stronger than expected in the first quarter, total first quarter SBC revenue was $17 million compared to $22.5 million in the fourth quarter, and $4.8 million in the first quarter of 2011. Three customers each contributed greater than 10% of our total revenue in the quarter, and they were AT&T, SOFTBANK and Verizon. Our top 5 revenue customers represented 65.6% of revenue this quarter, up from 54.9% in the fourth quarter and down from 71.9% in the first quarter of 2011. We reported revenue from 117 customers in the first quarter. This compares to 115 customers in the fourth quarter, and 96 customers in the first quarter of 2011, which is a 22% increase year-over-year. Looking at total revenue geographically, domestic revenue accounted for 75% versus 67% in the fourth quarter and 36% in Q1 of 2011. Before I go into further details on our financial results, I'd like to point out that the numbers I'm going to discuss are on a non-GAAP basis and exclude both stock-based compensation expense and amortization of intangible assets. Total gross margins for the first quarter was 65.3% compared to 64.1% in the fourth quarter and 40.3% in Q1 of 2011. First quarter gross margins were better than forecast due to higher product revenue, favorable product mix and a favorable product to service mix. Product gross margin for the first quarter was 77.9% compared to 71.2% in Q4 and 35.9% in Q1 of 2011. Service gross margins for the first quarter were 42.4% compared to 51.8% in Q4 and 45.4% in Q1 of 2011. Total operating expenses were $46 million compared to $41.4 million in the fourth quarter and $36.5 million in Q1 of 2011. Our Q1 operating expenses exceeded our previous outlook, the higher spending was primarily a result of additional commissions, incremental cost to accelerate new products time-to-market, customer evaluation units that are expensed when shipped, and other expenses to drive our new channel initiatives. Headcount increased slightly to 1,117 employees. Our net loss for the quarter was $4.2 million compared to net income of $5.4 million in the fourth quarter, and a net loss of $10.3 million in Q1 of 2011. We ended the quarter with total cash and investments of $379.1 million. Our DSO for the quarter was 46 days, as compared to 64 days in the fourth quarter, and 38 days in Q1 of 2011. Now I'd like to provide our outlook for the second quarter ending Friday, June 29, and for our fiscal year ending December 31, 2012. Our total revenue outlook for the second quarter is between $57 million and $59 million. This outlook reflects the approximately $5 million of revenue that was recognized in Q1 rather than our previous expectation for April of Q2. Fiscal year 2012 revenue outlook remains in the range of $270 million and $280 million. As we said on the last call, our annual revenue guidance assumes a 10% decline for our media gateway product revenue. While product revenue in this area was only down 5% in Q1 compared to Q4, we continue to see a gradual managed decline over time and expected to be more than offset by the growth of our SBC product revenue. Our second quarter total SBC revenue outlook is $14 million to $15 million, including SBC product revenue of $10 million to $11 million. Our full year revenue outlook for total SBC revenue remains in the range of $75 million to $80 million, and SBC product revenue remains in the range of $60 million to $65 million. For the second quarter, we expect total non-GAAP gross margins to range between 58% and 59%, the low gross margins for our second quarter reflect lower software content and a higher mix of service to total revenue. For the full year, we expect non-GAAP gross margins of 60% to 61%, which is a slight improvement from our original annual guidance due to our stronger-than-expected margins in this quarter. For the second quarter, we expect non-GAAP operating expenses to be between $42 million and $43 million. The projected improvement from Q1 is driven by lower fringe expenses and other people-related costs. Total non-GAAP operating expenses for the full year 2012 are expected to be in the range of $168 million to $171 million. The increase in operating expenses is designed to speed new product time-to-market, as well as support our new sales channel initiatives in an effort to support our investments in the fast-growing enterprise segment of the SBC market. For the second quarter, we expect non-GAAP loss per share of $0.03. And for the full year, we continue to expect a non-GAAP loss per share of $0.01 to $0.02. Basic and diluted share count for the second quarter should be approximately $280 million and for the full year, approximately $282 million. I will now turn the call back over to Ray.
Raymond P. Dolan: Thanks, Moe. In closing, Sonus has successfully repositioned itself for accelerated growth and value-creation. I believe our results are demonstrating this traction, thanks to a sound strategy, targeted investments and hard work from our talented team. We are seeing solid SBC traction and are on-track to expand our SBC portfolio and launch our channel in the second quarter. We expect revenue and customer growth to gain further momentum in the second half of this year as we continue to execute and capitalize on the strong industry trends. In short, I'm very confident about the future of Sonus. Thank you for your continued support. And with that, I'd ask the operator to transition us to the Q&A portion of the call.
Operator: [Operator Instructions] Our first question comes from the line of Paul Silverstein with Credit Suisse.
Paul Silverstein - Crédit Suisse AG, Research Division: Ray, can you give us a little bit more insight in terms of the customer make up on the SBCs. And relative to your comments about the 9000 and the bulk of it being new chassis as opposed to software, given that you're disclosing that on the 9000, I've got the same question for you in terms of the split between the 5200 and the 9000 coming from the same place. Can you give us some insight in terms of how much of the revenue this past quarter, as well as your outlook for the year, is 5200 as opposed to 9000? And again, if you can give us insight in terms of the customer make up. I thought maybe beyond what you said in the prepared remarks?
Raymond P. Dolan: Thanks, Paul. I appreciate the question. So let me deal with the second one first because we're not breaking out the 5200 we have and then that's the point. What I did try to do was to give you some color, because there was concern, I tried to address it straight on, that we were scoring SBC revenue principally through upgrading old GSX equipment through the embedded base. And we want to put that issue to rest. That was the purpose of that point. So I hope that's helpful, but we're not prepared to demonstrate -- to discuss going forward the mix of 5200 and 9000. We see it as a common portfolio, just like every other player in industry does. On the SBC customer mix, Todd, do you want to just give some color for Paul on what you're seeing in the marketplace?
Todd A. Abbott: Yes. So the current mix is predominantly service provider. There was some enterprise mixed in there as we indicated with some of the -- 2 of the new accounts this quarter. But the majority of traction for us is coming from both existing and new service provider customers. I think the other question you were asking is on the 5200, how does that relate to new versus repeat? And that's predominantly coming from net new customers.
Paul Silverstein - Crédit Suisse AG, Research Division: All right. Couple of follow-ups, if I may. On the -- with respect to the customer make up, are there any -- of the total dollars you're doing, both now and looking at the balance of the year, is there 1 or 2 projects in particular that stand out in terms of contribution? Or is it, as I think it has been to date, is it pretty broadly diversified across your SBC customers.
Raymond P. Dolan: It's the latter, Paul. More broadly diversified.
Paul Silverstein - Crédit Suisse AG, Research Division: Secondly, I'm truly not trying to give you a hard time here, Ray, but just I applaud you from putting the 9000 issue to bed. If you really want to put the entire SBC issue to bed, give us the breakout of the 5200 and 9000 and that'll totally resolve it. But I spoke my piece, I'll pass it on.
Raymond P. Dolan: I'll take your comment under advice, Paul, and I appreciate your support.
Operator: Our next question comes from the line of Catharine Trebnick with Northland Securities.
Catharine Anne Trebnick - Northland Securities Inc., Research Division: My question has to do with the types of wins that you're experiencing. Any particular reason they're selecting you over another competitor? And what's the average deal size for some of these?
Raymond P. Dolan: We haven't disclosed the average deal size, I don't have that off the top of my head. So we're not prepared to talk to that. But frankly, we win when we get engaged. We've got a set of products, of portfolio products that perform very well in the lab, that scale very nicely, both within the box architecture, as well as in the network architecture with our policy capability. So we perform very well when customers are looking for a scalable box and architecture to address their SIP and CESA [ph] needs.
Catharine Anne Trebnick - Northland Securities Inc., Research Division: So are they interconnect opportunities then or they -- and where would they be? What type of use case? Could you perhaps explain that?
Raymond P. Dolan: Yes. Predominantly, interconnect opportunities, which is really where the bulk of SBC's are going today.
Operator: Our next question comes from the line of Alex Henderson with Miller Tabak.
Alex B. Henderson - Miller Tabak + Co., LLC, Research Division: First question. On the accounts receivable, I'm a little perplexed by a couple of comments and I'm just trying to make sure I understood it. It sounded like you had a project that you'd expected in April to actually pulled in March, which would imply heavy linearity towards the back end of the quarter. Yet your account receivables fell pretty sharply, $21 million quarter-to-quarter. And those 2 seemed to be in congruence, and I'm just wondering if you can help me out in understanding if I'm missing something there?
Maurice L. Castonguay: Sure. That's a very good question. With respect to the fact that receivables were down sharply, was because of great collections in the quarter with respect to the $5 million that got scored in Q3 versus in April, it's simply a function of the timing of when that customer wanted that revenue. So that's not something that we totally control.
Alex B. Henderson - Miller Tabak + Co., LLC, Research Division: But that's an April scoring -- excuse me, a March scoring instead of an April scoring, right?
Maurice L. Castonguay: That's correct. As you know, we take orders in quarters, and they can end up being scored in multiple quarters.
Alex B. Henderson - Miller Tabak + Co., LLC, Research Division: Right. Did you guys give a book-to-bill or did I miss that?
Maurice L. Castonguay: We have not. However, this quarter, our book-to-bill was below one, which is customary in the first quarter.
Alex B. Henderson - Miller Tabak + Co., LLC, Research Division: Okay. Within the SBC business, is there any 10% customers in that? I mean -- and/or said differently, are the 3, 10% customers a meaningful portion of your SBC orders or is it -- are those predominantly the traditional lines?
Raymond P. Dolan: So Alex, it's a mix. Amongst those 3, it's a mix of traditional lines and SBC orders and all good, solid accounts.
Alex B. Henderson - Miller Tabak + Co., LLC, Research Division: Is there a trend among your large existing customers to take on the product that is starting to show up in the numbers relevant to the improved visibility around SBCs? Is that part of what's going on in terms of, "Gee, I got this large install base of TDM to IP and those customers love me and trust me and now they're buying the product." Or is this predominantly still I'm selling SBCs to new customers?
Maurice L. Castonguay: So I think historically, just based upon the number of new customers that we have been attracting over the course of the years and quarters. It's been predominantly coming from existing customers with some net new. We saw the net new coming in, in the second half of last year. When we look at the outlook over the course of the year, we would expect there to be an ever-increasing amount of new customers adding to the portfolio that will be primarily SBC-driven. So it will continue to be a combination of a mix, with an increasing amount coming from net new.
Alex B. Henderson - Miller Tabak + Co., LLC, Research Division: I know you guys got a lot on your plate, and I'm almost apologetic to ask this question, but I'm going to do it anyway. The guys over at Acme, recently announced that 8 out of their 9 products will be virtualized by the middle of the summer. Virtually every service provider I talk to is looking for virtualized capabilities from their vendors. Virtually every other company that's in the application arena, whether it's Riverbed or F5 [ph] or whoever, has moved to a virtualized capability. Where are you guys on that process? And is that something that's -- we should be anticipating in the near term or is that a longer term further out project?
Raymond P. Dolan: Well, Alex is. This is Ray. I'm not going to comment on the timing of it, but we've got our sight set on the same market trends. And as we have things to announce, we will do so. But I don't want to set expectations on this call as to when that's going to happen.
Alex B. Henderson - Miller Tabak + Co., LLC, Research Division: But it is something that's on your agenda that you realized you need to do?
Raymond P. Dolan: Absolutely.
Operator: Our next question comes from Natarajan Subrahmanyan with TheJudaGroup.
Natarajan Subrahmanyan - TheJudaGroup, Research Division: On the enterprise side, I wanted to ask if you are seeing the trends move from SIP trunking being the biggest driver of business towards more of a move towards hosted PBX and hosted unified communications, and what the implications are for you from that trend? The reason I ask is because it seems like some -- overall solution-based sales in the hosted UC market could favor competitors like Cisco rather than standalone players like yourself?
Raymond P. Dolan: So yes, we would absolutely agree that we're starting to see some early trends of moving from traditional premise-based IP TV exits to cloud based. That's frankly a positive trend for us, in a sense that it's going to then drive the complexity of the session-based traffic, which will drive the requirement for greater scale at the SBC access layer. So those are all very positive trends, and we see a lot of customers moving into mixed hybrid environments relative to private versus public cloud. That trend though is going to take many quarters, many years, but we're absolutely seeing the willingness from an enterprise standpoint to begin to move from premise-based to cloud-based. We frankly view it as a positive and not a threat.
Natarajan Subrahmanyan - TheJudaGroup, Research Division: I guess my question was, are you seeing the carriers deploy more kind of a solution from one of the existing PBX vendors as they host their -- go to a hosted and that solution includes a SBC from one of the larger vendors or are they still buying different pieces from best-of-breed vendors?
Raymond P. Dolan: I think the traditional PBX players are going to have a challenge competing in a cloud-based model, because they're going to have pricing models that are going to try to protect the legacy business. It's not a transition that they can make quickly. Any of the models that are out there today, if you go look at the pricing of it, really all that it is, is it's an OpEx version or an OpEx model of a CapEx architecture. So there's a lot of room for disruptive cloud-based pricing from a UC and voice standpoint. And we believe that, that's going to be a trend in the market that's going to pick up pace in the future quarters and years.
Natarajan Subrahmanyan - TheJudaGroup, Research Division: Understood. And Ray, on gross margins, can you talk about -- I mean the industry gross margins and then what you expect for industry gross margins. Obviously, your gross margins are below those of your competitors and you're going to work that up, but the gap is fairly large. And I'm wondering kind if you're looking at this over the next year or 2, how do you think about industry gross margins for the SBC market?
Raymond P. Dolan: So Subu, we've had this discussion before. It's hard to describe -- it's hard for us to predict industry gross margins. I'll say a few things. One, the industry is not yet competing principally on price. So I don't think there's an enormous threat there. We've got some work to do to drive volumes and scales and get our margins to approach where the industry is now. And that's pretty much as much as I have to say on it. I'm not going to predict an outcome there.
Operator: Our next question comes from the line of James Kisner with Jefferies & Company.
James Kisner - Jefferies & Company, Inc., Research Division: So I guess, first of all, I think -- thank you for taking this 9000 U100 [ph] issue sort of head on. I appreciate that. Obviously, it's been in prominent in investors' mind. I guess one question sort of around that is, I mean, historically over the last several years there's been widespread adoption and marketplace acceptance of non-hybrid standalone SBC's, and so I kind of just wonder what's kind of changing here? Why are you seeing people pick, a curious the 9000, which I view as the hybrid solution. Is it because perhaps the market for that product only recently developed or is it because there hasn't been a good hybrid solution to-date and it took additional focus from you to deliver that solution. Like what's your perception about that disconnect and sort of what's been adopted historically and the traction you're seeing?
Raymond P. Dolan: I think it's customer preference, and to a certain extent, just a [ph] pivot that we're making as a company from a sales cycle point of view. So we've got folks that know how to sell both products and both are being taken up out there, James. The 9000s, when you say the hybrid, in some cases, people do see the hybrid value. But in many cases, they just see a standalone 9000 SBC, as value by itself. Meaning it's a very, very stable platform, a very competitive platform and it wins a lot of bids.
Maurice L. Castonguay: If you go back and look at the chassis wins on the 9000, it could have easily been substituted for a 52. It's just a matter of the adoption of that new platform that really became stable at the midpoint of last year. These 9000 chassis deals tend to be a bit larger and longer sale cycle, so it's really just the legacy sales cycle transition. But frankly, it could be either/or, both platforms scale very nicely and hence, the success of both platforms.
James Kisner - Jefferies & Company, Inc., Research Division: Just to clarify something that I thought I knew about this with the platforms, [ph] I thought that the 5200 and 9000 had equivalent functionality in terms of session capability and that the main difference was the 9000 was actually just physically larger. I mean it obviously has the capability you need the gateway as well. So like why would you buy a 9000 instead of the 5200 if you're not going to employ a hybrid solution and you're not upgrading your media gateway.
Raymond P. Dolan: I think going forward that will be a fair question. I think given why someone would've done that a quarter or 2 ago, is really just the lifecycle of the products. 9000 has been around for a long time. 5200 is a very new and recent product. It's really, literally, down to that level. There are some functional differences, but it's primarily doing -- it's primarily driven more by lifecycle, product lifecycle than anything else.
James Kisner - Jefferies & Company, Inc., Research Division: Okay. Fair enough. Let's just switch briefly, if you don't mind. Allow me to get [indiscernible] for a second, that I think [ph] that I am not you're guiding for media gateways to services and products decline sequentially about 8%. And that seems counter-seasonal. Can you give us some insight into why that is?
Raymond P. Dolan: James, the question is why are we guiding a slight decline in the media gateway business?
James Kisner - Jefferies & Company, Inc., Research Division: Yes. Sequentially -- normally, Q2 should be up, right? I mean sequentially I would have thought Q2's a stronger quarter given that gap it gets reset in Q1. And last year it's kind of what happened also last year. But generally speaking, the comm equipment space tends to be sequential increases for the year. So is it just part of the secular decline and you know how it is, it would be just be -- 8% seems like a lot.
Raymond P. Dolan: James, the media gateway business is, I would say, much more project-driven than it is seasonal. So it's much less dependent on what quarter you're in, as opposed to what quarter you won the deal. So a lot of those projects are long lead times. Sales cycles and long fulfillment cycles and far less inference should be taken from whether it goes up quarter-to-quarter or down quarter-to-quarter. What we tried to set in the initial guide and what we're stating here is that we believe that our traditional media gateway business will decline based on our shift in focus slightly and in the steady decline in the overall market. And that we will absorb that revenue loss, if you will, more than absorb that with SBC revenue growth. That's the story there and I suggest that it's not a matter of what happens quarter-over-quarter in that market overall. Does that help you?
James Kisner - Jefferies & Company, Inc., Research Division: [indiscernible] One final question and then I'll pass. It's a shorter one. This cash burn -- what do you -- I don't think you said anything about that. What do you think that looks like next quarter if there is any in -- I guess is there kind of like in your mind, it's been on [indiscernible] mind. Is there kind of like a cash number you would say I would never even in a period where media gateways decline at an accelerating rate, we just would be very cognizant of keeping above a certain level, is there number in your mind or a philosophy around that? And that's it.
Raymond P. Dolan: Well, the cash forecast for Q2 is to be somewhere in the low- to mid-260s -- 360s, I'm sorry. That's cash and investments combined. And in terms of the minimum amount, there really is no minimum amount that we can point to.
Operator: [Operator Instructions] And our next question comes from the line of Todd Koffman with Raymond James.
Todd K. Koffman - Raymond James & Associates, Inc., Research Division: Did you say all 3 of your 10% customers recognize revenue -- recognized SBC revenue in the quarter?
Raymond P. Dolan: No, I didn't. I said it was a mix.
Todd K. Koffman - Raymond James & Associates, Inc., Research Division: Mix being -- what do you mean by that?
Raymond P. Dolan: It means that some has SBC revenues and some did not.
Operator: Our next question is a follow-up question from the line of Paul Silverstein with Credit Suisse.
Paul Silverstein - Crédit Suisse AG, Research Division: Ray, just to that last question. I think earlier on, I thought I understood you said that all 3 customers of the 10% AT&T, SOFTBANK and Verizon, they're taking both SBC and media gateway. So is reconciliation, they just -- this past quarter one or more of those didn't have SBC, but we are deploying SBCs as a general proposition?
Raymond P. Dolan: Yes. That's how I would look at it, Paul. And of the last quarter not all of them had SBC revenue in there, but we're engaged with all of them.
Paul Silverstein - Crédit Suisse AG, Research Division: All right. And also I assume you guys religiously track your win rate in the SBC market whether 9000 or 5200, can you share that with us?
Raymond P. Dolan: The honest answer is we're still working on getting it really fine tuned, but I would tell you that our view at this point right now is it's north of 75%.
Paul Silverstein - Crédit Suisse AG, Research Division: And can you give us an idea on of how many opportunities you're tracking out there?
Raymond P. Dolan: We're not prepared to give that data at this point, no. But suffice it to say, we've got a funnel that gives us the confidence on the guidance that we provided.
Paul Silverstein - Crédit Suisse AG, Research Division: I'm not asking you for the size of the opportunity, just the number of opportunity.
Raymond P. Dolan: I think you'll see a continued ramp of new customers as we go through the quarter -- as we go through the year, I'm sorry. So I think it will become a bit evident as we go through the year. But we would expect to have a significant increase in the number of customers by the end of the year.
Paul Silverstein - Crédit Suisse AG, Research Division: Let me take another cut at it. Putting aside how many opportunities are out there, if we want to get a sense for the progression, putting aside share gains. We want to get a sense for the growth in the marketplace and the opportunity. Can you give us some sense for what the activity, the funnel looks like today versus 90 days ago? Versus 180 days ago? Some sense for market developments? Are you seeing a lot more RFPs, et cetera?
Raymond P. Dolan: I think -- so our funnel has absolutely grown. A lot of it has to do with the investment in sales coverage and beginning expansion of our marketing capabilities. So we're frankly just getting engaged a lot more than we were in the last 12 months. I would tell you that demand is strong from an interconnect and peering standpoint to continues to be quite strong. We believe the enterprise is well and is going to continue to drive a significant amount of growth. Received lots of opportunities there primarily driven through channels and service providers. But the bulk of our activity tends to be, at this point, more on peering and service provider side of the house.
Paul Silverstein - Crédit Suisse AG, Research Division: And sorry, interconnect and peering, given the disposition of your revenues, 75% U.S., is the bulk of that interconnect and peering opportunity that you guys are seeing, that you're executing on, is that U.S. based?
Raymond P. Dolan: It has been historically, but you're going to see an increase in contribution from the international theaters in the coming quarters.
Paul Silverstein - Crédit Suisse AG, Research Division: All right. Let me ask you about U.S. in particular. Do you have visibility as to where your various U.S. peering and interconnect customers are at, in terms of the build-out of their interconnect capacity?
Raymond P. Dolan: Yes.
Paul Silverstein - Crédit Suisse AG, Research Division: Can you share with us where they're at? Or is it early days, there are less than 25, less than 50, are they at the midpoint? Can you give us some sense for how those opportunities are developing?
Raymond P. Dolan: I would say that they're less than 50. So in that 30 to -- it'll vary. But in that 30 to 50 is a good range, percent that is.
Paul Silverstein - Crédit Suisse AG, Research Division: I apologize. One more. Is that in terms of tracking this opportunities, do the carriers give you a fair amount of insight into those deployments or is that just your guesstimate?
Raymond P. Dolan: It really does vary, Paul. I mean in some cases we've got a very clear line of sight relative to PoPs and how they're going to roll out service. In others, it's very much demand-driven as they rollout incremental services that are going to require more session density. That tends to be a little bit more of an art than clearly if we've got line of sight to PoPs and infrastructure that's going to be enabled with SIP-based technology.
Paul Silverstein - Crédit Suisse AG, Research Division: Right.
Raymond P. Dolan: And overall -- sorry.
Paul Silverstein - Crédit Suisse AG, Research Division: No, no. Go ahead.
Raymond P. Dolan: I was just going to reinforce the point. But overall, on a blended basis, the 30% to 50% feels very right to us.
Paul Silverstein - Crédit Suisse AG, Research Division: And one final question on this. In terms of time frame, will give the interconnect opportunity, can you give us a sense for how long a tail, are we talking about 12 months of pretty good revenue flow to get to 50% to 75% penetration or is this multiple years? What are we talking about.
Raymond P. Dolan: Multiple years.
Patti Leahy: Benjamin, do we have any other callers lined up for questions.
Operator: Yes. Our last question comes from the line of Alex Henderson with Miller Tabak.
Alex B. Henderson - Miller Tabak + Co., LLC, Research Division: So can you talk a little bit about the mix of business between cable to residential or FiOS or for that matter, U-verse to residential versus service provider to enterprise versus interconnect within your business. How should we think about those border elements versus service provider to service provider, or service provider to enterprise, or service providers to residential as a percent of the business that you're chasing?
Raymond P. Dolan: Alex, I'm not quite sure I understand your question. I doubt we'll be able to illuminate on that.
Alex B. Henderson - Miller Tabak + Co., LLC, Research Division: It's pretty straightforward. There are 4 different places where you have borders, right? You have borders between service provider to residential, you have borders between service provider and enterprise, you have borders between service provider to service provider, and you have borders between service provider to wireless. So obviously the wireless is LTE-based and that's the next question, but I assume that, that's still 0 since it's all TDM still. So how much of the business is going into those 3 segments?
Raymond P. Dolan: Okay. I understand that. I don't necessarily have those. We don't have those numbers handy to share with you. I would tell you that all of those markets are growing. The bulk of our business today is coming from carrier to carrier.
Alex B. Henderson - Miller Tabak + Co., LLC, Research Division: So the bulk of your business is interconnect related then?
Raymond P. Dolan: Correct.
Alex B. Henderson - Miller Tabak + Co., LLC, Research Division: And how do you see yourself getting into the service provider to enterprise piece. How do you see the timeline to build that out since that's such a big part of the existing market.
Raymond P. Dolan: We're in the process of building that out now, we have several trials and engagements going on. That's just an ongoing sales engagement process that's taking place both in the U.S. and in the international markets as ship-based services get deployed to the enterprise.
Alex B. Henderson - Miller Tabak + Co., LLC, Research Division: Do you think that that's going to be run as a managed services -- at the service provider footprint or do you think that's going to be an infrastructure build for in-house infrastructure in the service provider footprint?
Raymond P. Dolan: I think it will be a combination, I think -- because the connection to the enterprise, I thought we were going from an enterprise service standpoint, we think the bulk of that's going to be on a managed hosted basis by...
Alex B. Henderson - Miller Tabak + Co., LLC, Research Division: And then, on the LTE side, I'm surprised that this call has gone this far without the mention of LTE. Obviously, LTE's a big driver of potential upgrades for SBC demand in most of the spending and service providers is on their wireless business. So where do you see us relative to the LTE deployment timeline and how do you see LTE as a driver of your business over the course of the year or is that only a 2013 driver?
Raymond P. Dolan: That's how we see it Alex. We see it as a 2013 and beyond driver.
Alex B. Henderson - Miller Tabak + Co., LLC, Research Division: So you don't expect to see any impact on that -- this year.
Raymond P. Dolan: No. Not this year. But I do believe it will be an important market for us to address over time.
Alex B. Henderson - Miller Tabak + Co., LLC, Research Division: One last question. I just wanted to make sure my numbers are right. Can you talk about 40% and 60%, say 40% in the first half, 60% in the second half, the guidance that you gave, the midpoint would suggest at the low end of the band, 44% and the high-end of the band, 45% in the first half, to -- it doesn't quite fit. Is that 40% to 60% sort of the ongoing long-term trajectory or am I just being too fine-tuned in my calculus?
Raymond P. Dolan: I'll do the math again, Alex, but let me just flip this out of the math and see if I can just move it up a notch to the message. The message is, we sat with you this time last year with a steeper hill to climb than we have to this year, with more visibility into the year and more confidence in our projections. That's the message. I don't want to get lost in the numbers. We'll see if we can square them off with you as we deal with some follow-up.
Operator: I will now turn the call back over to Patti Leahy. We have no further questions at this time.
Patti Leahy: Okay. Thank you, Benjamin. But before I cover on a few housekeeping items, I'd like to hand it back to Ray who's going to provide a few closing remarks.
Raymond P. Dolan: Yes. I appreciate that. Thanks, Patti, and thanks for your interest in Sonus and you continue to support our company. It's been 18 months for me and I just wanted to share some thoughts that this journey has been a -- obviously, challenges on a number of fronts as our business has transitioned from principally a TDM to IP media gateway business to an SBC business. I'm very excited that the team that we've gotten in place, and the products that we've brought to market are capturing some of the growth areas of our industry. And I just wanted to share that with you because when things come forward from Q2 to Q1, I view that as a good thing. What we've tried to do is to give you some level of transparency on this call, that while we see the first half as similar to the way we saw at the beginning of the year, I'm very encouraged that when things come in early those are just opportunities to reassign people and get more business done going forward. So I just wanted to give you some sense and some confusion out there as to where things are. That I have a very strong sense of confidence in our team and in our products and I'm excited. So thank you very much, Patti.
Patti Leahy: Okay. Thanks, Ray. So just wanted to mention that we're going to be presenting at a couple of conferences coming up at the Jefferies Global TMT Conference on May 7 in New York and the JMP Equity Conference on May 15 in San Francisco. And we'll also be hosting our Annual Investor Analyst Day on Thursday, September 13 in New York and hope to see you all there. If you're not already receiving these alerts from us, please e-mail me or you can go directly to the IR Page of our website to sign up for those alerts so we can ensure that you receive an invitation. So thank you very much. We appreciate the time you've taken to be with us today and look forward to talking with you again soon. Good night.
Operator: Ladies and gentlemen, that does conclude the conference call for today. We thank you for your participation and ask that you please disconnect your lines.